Cynthia Tan: Thank you, Operator. Hello, everyone and thank you all for joining us on today's call. TuanChe has announced its quarterly financial results today and earnings release is now available on company's IR website. Today, you will hear from TuanChe's CEO, Mr. Wei Wen, who will start off the call with a review of recent company developments and strategies. He'll be followed by the company's CFO, Mr. Zhihai Mao, who will address the financial results in more detail. After the management's prepared remarks, we'll open up the call for questions.
 Before we proceed, please note that this call may contain forward-looking statements made pursuant to the safe harbor provisions for the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and observations that involve known and unknown risks, uncertainties and other factors not under the company's control, which may cause actual results, performance or achievements of the company to be materially different from the results, performance or expectation implied by these forward-looking statements. All forward-looking statements are expressly qualified in the entirety by the cautionary statements, risk factors, and details of company's filing with the SEC. The company does not assume any obligation to revise or update any forward-looking statements as a result of new information, future events, changes in market conditions or otherwise except as required by law. 
 Please also note that the company will discuss non-GAAP measures today, which are more thoroughly explained and reconciled to the most comparable measure reported under the general accepted accounting principles in the company's earnings release and filings with the SEC. You are reminded that such non-GAAP measures should not be viewed in isolation or as an alternative to the equivalent GAAP measure and that not non-GAAP measures are not uniformly defined by all companies, including those in the same industry. 
 Now with that said, I'm pleased to present Mr. Wei Wen, CEO of TuanChe. Please go ahead, sir. 
Wei Wen: Hello, and thank you, Everyone, for joining us on our first quarter earnings call today. 
 In the first quarter of 2019, car sales in China continued to [underperform] due to uncertainty in the macro economic environment. In fact, passenger car sales fell in March for the 10th straight month according to industry records ending the first quarter with a 13.7% year-over-year decline in sales. Despite this historic industry slump and a seasonally slow quarter, we maintained our strong growth momentum. Importantly, quarterly net revenues increased by 48.6% year-over-year to RMB 122.9 million, exceeding our previous guidance range. This solid financial performance was a result of continuous improvement to our Core Auto Show business. 
 In addition, our new growth initiative in special promotion events and virtual dealership also yielded promising financial and operating results in the first quarter of 2019. First, for our Core Auto Show business, we proactively adjusted our geographic expansions in light of the seasonally weak first quarter and unprecedented industry downturn. During the first quarter, we successfully organized 178 auto shows across 137 cities compared to 96 auto shows in 71 cities in the prior year period. 
 In China, auto markets in the third-tier cities and below are still underdeveloped with strong growth potential. Importantly, residents of these cities enjoying rising disposable incomes with low living costs compared to higher tier cities and are highly aspirational when making consumption decisions. As such, these residents see buying a car as both within their means and a worthwhile goal. The demand for quality of car dealership and the related services in this area is growing exponentially, while those capable of filling the gap have been slow to move, leaving them underdeveloped and under-penetrated. 
 It is important to note that car ownership risk in first and the second-tier-city markets are well ahead of those in lower tier city markets. This means that there is room for expansion and we have increased the frequency of our auto shows and the geographic coverage in this area during the first quarter based on our progress to date and in the future growth outlook. We are confident that our efforts will result in both sustainable growth and a profitable business. Of course, auto markets in lower tier cities are different from first- and second-tier markets and we have adjusted our operations to account for this. Although residents' income levels in lower tier cities are growing, they still prefer less expensive products than those in first- and second-tier cities. Based on these characteristics, we have consciously adapted our auto shows. Moreover, due to the decrease in costs needed to run auto shows in lower tier cities, we have been able to expand our geographic coverage with minimal cost. 
 Moving forward, we plan to focus our expansion efforts in cities with higher potential ROIs to ensure both sustainable growth and gross margin improvement. In addition to our flagship auto shows, we also accelerated the development of special promotion events in the first quarter to cater to the needs of auto dealers. 
 Under current market conditions, dealers are experiencing increasing pressure on their inventory with dealer inventory index high at 55% in March, which exceeded the warning line for 15 consecutive months. To help them better monetize their customer bases, we've customized our special promotion events for each auto dealer. This customized -- customization has ensured optimal customer experience and sales conversion rate. 
 We also helped our industrial customers improve their sales efforts by leveraging our in-depth automotive domain expertise and proven capabilities in transaction facilitation. As a result, the service fees that we generated through our special promotion events in the first quarter exceeded our pressure -- previous expectations. 
 Now moving on to our growth initiative in virtual dealership and online marketing services. As auto sales continue to decline throughout the industry, Chinese OEMs are under significant pressure to reduce their marketing budget, while still increasing sales. As a result, we have started to focus more on opportunities in lower tier cities to increase their sales. However, most of the major automakers lack the necessary resources and understanding of market dynamics in lower tier cities. In light of this real marketplace need, we developed our virtual dealership network throughout the past [ 2 ] quarters. This network is well suited for lower tier markets in China and helps our industrial customers expand into these markets efficiently. 
 During the first quarter, our Virtual Dealership Services continued to gain traction among Chinese OEMs and we are currently in negotiations with several major OEMs regarding future collaborations. 
 Lastly, let me share an update on our recently announced partnership with Easyhome. Easyhome currently operates  one of the larger homes improvement suppliers and furniture chains in China. Together, we will jointly establish an innovative 1-stop retail experience that combines home decoration products and automotive services to serve a broader range of Chinese consumers. 
 As a part of the partnership, Easyhome will offer shopping mall retail spaces free of charge as new venues for us to organize auto show events. We are planning to bring our auto show events to Easyhome's retail locations in over 200 Chinese cities as we aim to unlock the monetization potential of Easyhome's customer base. This mutually beneficial partnership with Easyhome will further expand our business scale and brand's recognition. Furthermore, we are confident that we can replicate this formula to establish more cross-sector collaborations going forward. 
 In summary, our strategy is to prioritize efficiency in our expansions and to cultivate additional growth engines during the first quarter -- have yielded encouraging results in the first quarter and we are confident that our expanded service offerings and sales network will sustain our growth momentum and help us weather adverse market conditions. 
Cynthia Tan: Thank you, Wei. Now let's turn the call to our CFO, Mr. Zhihai Mao for first quarter financial results. 
Zhihai Mao: Thank you, Wei. Hello, everyone. 
 Before I start, please note that we have changed our revenue classifications in the first quarter. Previously, we reported our net revenues as classifications of auto shows and virtual dealership demand-side platform and others. As Wei mentioned earlier, we have started organizing special promotional events for industry customers to better serve their off-line marketing needs. In addition, we have also upgraded our demand-side platform into a comprehensive online marketing services to better utilize our Big Data capability. In order to provide more transparency going forward, we have decided to report our net revenues as the following new classifications. The first one will be off-line marketing services, auto shows; the second one will be off-line marketing services, special promotion events; and the third one, virtual dealership, online marketing services and others beginning January 1, 2019. 
 Now before I move on to our first quarter financial results, please also note that all numbers stated here are in RMB terms and all percentage comparisons are year-over-year basis unless otherwise noted. 
 Despite recent stagnation of the automotive industry in China, our total revenues in the first quarter increased by 40.6% to RMB 122.9 million from RMB 87.4 million in the same period last year. This growth was mainly driven by the strong performance of our Core Off-line Marketing Services and other growth initiatives, including our Virtual Dealership and Online Marketing Services. 
 Off-line Marketing Services revenues generated from auto shows in the first quarter increased by 35.9% to RMB 118.8 million from RMB 87.4 million in the same period last year. The growth was mainly driven by the increase in number of auto shows that we organized, cities that we operated in and the [business] that we provided to our industry customers. 
 Off-line Marketing Services revenues generated from special promotion events reached RMB 0.8 million in the first quarter. So far, we are confident in the growth prospects of our Special Promotion Events business and we expect it will continue in a strong growth trajectory in the coming quarters. 
 Although new car sales in China continue to decline, the total gross merchandise volume of new automobile sales transactions facilitated by us in the first quarter increased by 16.7% to RMB 8.4 billion from RMB 7.2 billion in the same period last year. Meanwhile, the number of automobile sales transactions facilitated during the first quarter increased by 31.1% to approximately 65,000 from approximately 49,000 in the same period last year. In addition to our Off-line Marketing Business Services, we also continued to run our new growth initiatives during the first quarter. 
 Revenues from Virtual Dealership, Online Marketing Services and others increased to RMB 3.3 million during the first quarter. Our gross profit in the first quarter increased by 40.8% to RMB 88.9 million from RMB 63.1 million and our gross margin further expanded to 72.4% from 72.2% in the same period last year. This margin improvement was driven by the increasing revenue contribution from our Virtual Dealership, Online Marketing Services and Other Services, which produced relatively higher gross margins. 
 In the first quarter, selling and marketing expenses increased to RMB 86.1 million from RMB 58.1 million in the same period last year, primarily due to an increase in staff compensation expenses as well as our advertising and promotion activities incurred during the first quarter. 
 Selling and marketing expenses for the first quarter included staff compensation expenses of RMB 31.5 million compared to RMB 12.3 million in the same period last year. 
 General and administrative expenses increased to RMB 22.9 million from RMB 8.7 million in the same period last year, which was due to a head count increase as a result of our business expansion during the first quarter. In addition, we also incurred higher professional fees and ongoing expenses as a public company during the first quarter. 
 General and administrative expenses included share-based compensation expenses of RMB 7.2 million in the first quarter compared to RMB 0.2 million in the same period last year. 
 Research and development expenses increased to RMB 7.5 million from RMB 4.0 million in the same period last year, mainly driven by an increase in headcounts as a result of our business expansion. Consequently, our loss from continuing operations was RMB 27.6 million in the first quarter compared to RMB 7.7 million in the same period last year. Excluding the effect of share-based compensation expenses, impairment of the investment and a fair value loss of warrant. Adjusting net loss attributable to the company's shareholders was RMB 15.5 million in the first quarter compared to RMB 12.8 million in the same period last year. Our adjusted basic and diluted loss per ordinary share reduced to RMB 0.05 in the first quarter from RMB 0.14 in the same period last year. 
 Adjusted EBITDA was a loss of RMB 17.7 million in the first quarter compared to a loss of RMB 11.1 million in the same period last year. 
 Now turning to our balance sheet. At the end of March 2019, we had RMB 505.6 million in cash and cash equivalents. For the second quarter of 2019, we expect our net revenues to be between approximately RMB 240 million and RMB 250 million representing an approximate year-over-year growth between 31.9% and 37.4%. These forecasts reflect our current and the preliminary views on the market and operational conditions, which are subject to change.
 This concludes our prepared remarks for today. Operator, we are now ready to take questions. 
Operator: [Operator Instructions] Our first question comes from Allen Klee from Maxim Group. 
Allen Klee: Could you talk a little about your long-term vision and how you see some of the virtual strategy in smaller tier cities enabling yourself to continue to grow despite the overall Chinese auto market declining? 
Cynthia Tan: Let me translate to Mr. Wei. [Foreign Language] 
Wei Wen: [Interpreted] Our long-term vision is to become a Chinese leading company in auto transactions and services. We are expecting to gain about new potential car consumers in millions of size and we aim to facilitate in millions of car transactions in the market. We aim to cover Chinese lower tier city markets in most regions through our Virtual Dealership system and expand our services into the aftermarket services and build service throughout the life cycle of a consumer's car purchase. This is our vision. 
 To answer your second question as to how to expand our market share under current market headwinds, our strategy is to penetrate into lower tier cities where the consumers are underserved and under-penetrated under current dealership system. And we are -- actually we are cooperating with many OEMs to expand our Virtual Dealership network in the lower tier cities. Under current market headwinds, OEMs are -- actually shift their attitudes towards new channels as TuanChe because they have suffered from a decline in sales in the overall market. So and the lack of coverage in lower tier cities through their current dealership system. So actually -- this is actually an opportunity for TuanChe to build more coverage in OEM cities -- in OEMs and to build a bigger market places in lower tier cities. Does that answer your question? 
Allen Klee: Yes. Another question is, can you discuss how you differentiate yourselves compared to your main competitors? 
Wei Wen: [Interpreted] We understand that by competitors you mean auto, home and the auto right? 
Allen Klee: Correct. 
Wei Wen: [Interpreted] Yes. Actually, we are quite different from them. They are mostly pure online business and we have a much better presence in facilitation transactions in both -- combining both online and off-line resources. And we are much closer to transactions than them because they don't actually have transaction numbers, they don't actually get reach of the consumers. And we have much more cost-effective models for OEMs and dealers because for auto homes and the autos their tax rates are already sky-high for dealers to bear. You can refer to the news in last year. And so we are much more cost-effective way to provide similar services to our OEMs and dealers. Does that answer your question? 
Allen Klee: Yes. My view is, at this point early in your life cycle and the big opportunity out there, it makes sense to take a strategy of trying to gain as much market share as possible. So I like that. My question is, what do you think, assuming you accomplish this, that the advantages that will then create you in a couple of years? 
Cynthia Tan: I'm not sure of the last part. Can you repeat that? 
Allen Klee: Well, what competitive advantages mainly in terms of profitability can you gain longer term from a more short-to-intermediate strategy of pursuing market share growth? 
Cynthia Tan: [Foreign Language] Yes, let us try -- answer your question. 
Zhihai Mao: Let me answer your questions. As you can see from our product and service offerings, we have been able to maintain relatively healthy gross margins. We believe as we -- actually there were business strategies to expand our market share in lower tier cities. We're still able to maintain our same revenue and business service models, which we believe we'll continue to maintain very healthy margins. So going forward as we expand our business while taking more and more market shares, we will improve our operating efficiencies and profitabilities over time. 
Allen Klee: Okay. And my last question was, you talked about the -- your new partnership, which, I think, it was Easyhome. Could you just explain again the number. I missed the number of stores of theirs that you think that you can have events at and how you think about what this can mean as an opportunity for you financially? 
Wei Wen: [Interpreted] Easyhome has currently 300 stores in over 200 cities. And in 2022 they were expected to open over 600 stores and aiming to get a GMV of over RMB 100 billion. [Foreign Language] TuanChe is expected to bring its auto show events and virtual dealership to all these 300 home furnishing malls in almost 200 cities in China without the new cost. And this mutually beneficial partnership will also allow Easyhome to enhance its brand influence and expand its customer traffic flow while TuanChe establish reputation and expertise in organizing auto shows. Does that answer your question? Or do you need more color on the synergies between TuanChe and Easyhome? 
Allen Klee: No. That was great. Actually could I ask 1 last question? Do you have thoughts of how many -- the opportunity of the number of cities or the number of auto shows that you could potentially do in a year? 
Wei Wen: [Interpreted] We have through market research that over 338 cities in China and over 3,000 regions in China can actually have the market to bear our auto shows. 
Cynthia Tan: We can take next question. 
Operator: [Operator Instructions] Our next question comes from the line of Laura Liu from Stone Street. 
Laura Liu: So this is Laura. I know you kind of explained like how many stores of the Easyhome will be opening in China, and like the cooperation between the 2 companies, but -- and more especially in like -- more synergies -- like between -- of just synergies between the 2 companies. So can you please just tell us more on that? 
Wei Wen: [Interpreted] Auto and home furnishing industries are 2 major household consumption areas in China with trillion market value. The consumers in both industries share a lot in common.
 There are 2 typical groups of consumers. First group is newlyweds who needs to purchase and decorate a new home together with the purchase of a new car. This is also well known as the demand from mother-in-law in China.
 The other group is consumers with newborns on increasing disposable income who seek housing and car improvements to better serve the need for higher quality life.
 Although auto and home furnishing business share highly identical consumer base, most home furnishing malls and auto dealers are located in different suburban areas. So it is very time costly and inefficient for household consumers to purchase both car and home furnishing goods.
 And on the other hand, as car purchase and home furnishing are both low-frequency purchase with high consumption price, it is very hard to reach targeted consumers. Thus both auto dealers and home furnishing merchants suffer very expensive consumer acquisition costs.
 As such, the actual market demand has driven the strategic partnership of TuanChe and Easyhome to jointly establish an innovative 1-stop retail experience that combines home furnishing products and auto services to serve a broader range of consumers and channels. Does that answer your question, Laura? 
Laura Liu: Yes. That was great. My second question will be, can you tell us more about the new business initiatives of the special promotion events? 
Wei Wen: [Interpreted] Special promotion event is our new business initiatives to cater the need of our auto dealer customers under current market headwinds.
 As we mentioned in our previous remarks, car sales in first quarter continued to decline by 13.7% with dealer Inventory Index, high at 55% for 15 consecutive months. Auto dealers are facing high inventory as those pressures, which may not be fully satisfied by our auto shows due to limited frequency.
 On the other hand, auto dealers can now fully monetize its own consumer database because their sales team lacking experience with consumers and transactions is resulting in lower consumer traffic and unsatisfying transaction conversion rate.
 Thus we launched our special promotion event product to fully utilize our expertise in consumer intelligence and transaction facilitation for our dealer customers. We will deploy our experienced sales consultant to train the dealer sales team and guide them to organize a customer special promotion event based on their own consumer database. These events have delivered very promising consumer traffic, optimal customer experience and effective sales conversion rate.
 The revenue size from each special promotion event is relatively small, similar to our booth revenue in auto show, but we are expecting a fast growth in the numbers of these events considering huge market demands in this service. And the product margin of business line is sufficiently higher than our auto show business as we do not bear any consumer acquisition costs, value costs and event organization costs.
 In conclusion, we expect huge growth potential for our special promotion events while we tighten our relationship with auto dealers and the market headwinds and effectively supplement our auto show business. Does that answer your question, Laura? 
Laura Liu: Yes. That was great. 
Operator: [Operator Instructions] There are no further questions at this time. I'll now hand the call back to today's presenter. Please continue. 
Cynthia Tan: Thank you all for joining us today on today's call. We look forward to speaking with you next quarter. Thank you. 
Operator: Thank you. Ladies and Gentlemen, that does conclude our conference for today. Thank you for your participation. You may all disconnect.